Operator: Good day and welcome to the ASM International 2012 Fourth Quarter Operation Results Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mary Jo Dieckhaus please go ahead.
Mary Jo Dieckhaus: Thank you, Lisa. For those of you, who do not have copies of the ASM International 2012 and fourth quarter press release, it is available on the ASM website at asm.com. We remind you that this conference call may contain information relating to ASM's future business or results in addition to historical information. These forward-looking statements involve risks and uncertainties that could cause actual results to vary materially from those expressed or implied in such statements. These include without limitation, statements relating to revenues, margins, cost reduction programs, liquidity, breakeven levels, strategies and economic conditions. Please refer to the ASMI press releases and filings with the U.S. Securities and Exchange Commission on Form 20-F and 6-K for more information on the risk factors that could affect results. All forward-looking statements are based on information as of today March 6, 2013 and the Company assumes no obligation to update these statements. Now, I will ask Chuck del Prado, CEO of ASM International to proceed with his remarks. Mr. Del Prado?
Charles D. del Prado: I would like to emphasize that this call is about our fourth quarter and full year 2012 results. At the same time, we are very aware that many of you are awaiting the outcome of the study on the market evaluation of ASM. As we mentioned today in our press release, ASM International with the assistance of its financial advisors, is in the final stage of completing the study regarding the non-recognition by the markets of the value of the combined businesses of the Company. We will report on the outcome of this study as soon as practical and in any event before the forthcoming Annual General Meeting scheduled on May 16 of this year. Before turning to our fourth quarter and full year 2012 results for the group and specifics on our Front-end operations, I would like to share with you some observations on the industry since our last call in October last year. As most of you are aware, from an overall industry point of view, 2012 was a challenging period for our industry. Global economic uncertainty put pressure on customer spending as the year unfolded, resulting in an overall decline in CapEx of between 15% and 20% from the prior year. In the second half of 2012, investments in new wafer fab equipment for logic, NAND and DRAM were at relatively low levels. In the Foundry segment however, demand for wafer fab equipment remained relatively strong which included capacity buys for the 28-nanometer node. In 2013, mobility represented by smartphones, tablets and ultrabooks is expected to continue to be the dominant market driver for the semiconductor industry, further replacing PCs as the traditional market leader. We believe that mobility will again be a major driver for Foundry spending in 2013 or we expect 2013 spending in logic to be driven by high volume ramp of 40-nanometer node. In memory, we expect spending to be driven by transitions to new technology nodes, for both DRAM and NAND. Recently as a number of device manufacturers announced healthy CapEx budgets, particularly for the most advanced nodes, industry forecasters have increased their early in the year guidance for the new wafer fab equipment sector. To a more positive outlook of flat to down only 5% to 10% for 2013 versus earlier forecasts of down between 5% and 15%. Now, let’s look at the consolidated full year 2012 and fourth quarter results. ASM results were mixed for the year. In Front-end while revenues declined, we made significant progress with market penetration with our advanced products particularly our ALD and PEALD products in the logic, foundry and memory segments. In 2012, we also introduced two new platforms, the Intrepid XP for Epi, and the XP8 for PEALD and PECVD. In Back-end, while the equipment side was hit by contraction in industry demands, and particularly by the slow down of China’s economy. Lead frames had a record year, and our new service mount technology business improved margins. 2012 consolidated revenues came in at €1.4 billion, 13% below 2011. Front-end net sales declined by 19% to €370 million. Revenues for our ALD and PEALD products held up well, while our other Front-end product lines were impacted by the market decline. Back-end annual revenues decreased 11%. 2012 consolidated gross margin was 31% compared to 36% the prior year, with both Front and Back-end operations, experiencing declines of slightly over 4%. The decrease in the Front-end margin was mainly the result of efficiency losses early in the year. Lower loading of our factories have caused under absorption and higher investments in evaluation tools. For Back-end, the decrease in gross margins was the result of product mix and lower activity levels and average selling prices. Consolidated SG&A and R&D for both Front and Back-end operations increased on a sequential basis and as a percentage of total sales. For 2012, SG&A was 15% of consolidated sales compared to 11% in 2011, with Front-end SG&A up 5% year over to prior year and Back-end up 19%. Currency has played an important role causing an increase of 8% both for Front-end as well as for Back-end. Besides this the increase in Back-end is reflecting to a large degree, cost associated with strengthening of the overall operation. For the full year, R&D expenses were 11% of consolidated net sales with Front-end R&D cost up 21% and Back-end up 12% from the 2011 level, 8% of this increase is due to currency movement. The net impact was significant decline in earnings from operations compared to 2011. Front-end operating income was €0.5 million and Back-end €87.7 million. Consolidated net income amounted to €7.1 million for the year. Now, let’s look at the fourth quarter results. Consolidated net sales were €320 million, 22% below the prior quarter. On a currency comparable level, Front-end sales were flat and Back-end net sales declined 25% quarter-over-quarter reflecting the severe drop in industry tool demand. Front-end gross margin in the fourth quarter was 37%, up substantially from 31% in the prior quarter, due largely to a particularly favorable product mix. In Back-end the gross margin fell nearly 7% sequentially due to a worsening of the product mix and a much lower volume on assembly and packaging equipment. Consolidated gross margin was 27.5% for the quarter. On an absolute basis, our SG&A was flat and R&D expenses were lower with clients as a percentage of sales due to the lower sales volumes. While we reduced R&D spend for Front-end by 7% in the quarter, SG&A expanded due to a €2 million provision on receivables from a Japanese customer called (inaudible). Back-end SG&A remains stable and Back-end R&D was reduced 5% quarter-over-quarter. Front-end following a loss in Q3, returned to a modest but positive operating profit in Q4, after taking a restructuring provision of €1 million and a provision on the customer of €2 million. Back-end reported an operating loss of €5 million. As we mentioned in our third quarter earnings call, we started the cost reduction program in our Front-end operation. We have sent out a press release in December announcing that we are reducing headcount in our manufacturing organization in Singapore with 110 people. In the meantime, further actions are progressing. Effects of these actions are becoming visible in the course of the first half of 2013. In Q4, we have taken a provision of €0.9 million for restructuring and we expect to add up to €2 million in the first half of 2013 to this provision. The tax charge for the quarter of €12.8 million is related to the sale of certain IP towards our Dutch IP holding, leading to a more favorable tax rate in later years. Including special items of €3.1 million, net earnings in the fourth quarter amounted to a loss of €21.7 million. On the positive side, Front-end orders were strong in Q4 at €130 million, double this level of Q3 resulting in a book-to-bill ratio of 1.4. Back-end book-to-bill improved slightly from the prior quarter to 0.8. Overall, ASM book-to-bill for the quarter was 1. Moving to cash flow; as of December 31, 2012, we note that net cash from operations was €50 million compared to a usage of €20 million for the third quarter. For the full year, net cash provided for operations was €42 million. On the balance sheet, net working capital decreased from €507 million on September 30, 2012 to €468 million on December 31 of last year. The number of days outstanding of working capital measured against quarterly sales increased from 111 days on September 30 to 126 days on December 31 last year. For the same period, our Front-end segment decreased from 113 days to 111 days while our Back-end segment increased from 111 days to 126 days. In 2012, we got the outstanding convertible bonds. The conversion of the €150 million divestitures, less ASM Front-end debt free, while Back-end has about €80 million in debt. Other significant measures taken during the year were the repurchase of 1.5 million shares for consideration of approximately €40 million and distribution of the cash dividend of €0.50 per share equal to a total payment of approximately €27 million. The repurchased 1.5 million shares were used to limit the dilution caused by the conversion. Okay, now let's look into some additional comments on our Front-end operations. Q4 Front-end revenues of €93 million were comparable to the prior quarter, if we eliminate the currency effect of 3%. The principal drivers behind the Q4 revenue stream ALD and PEALD systems or the most advanced nodes in the foundry sector. The better than expected revenue level was due to extra business received in Q4 which could be also invoiced in Q4. To give some color on our order activity, leading customers placed orders to fill out 28-nanometer production capacity and in preparing for the 20-nanometer and 40-nanometer DRAM. By segment equipment bookings for logic and foundry were equally strong and together accounted for the majority of the Q4 orders. In the memory segment, orders included PEALD capacity for SDDP space defined over that thing, including a new PEALD production tool of reconciliation. We are currently witnessing a broadening of customer acceptance over [atomic] layer depositions, by foundry, logic and memory manufacturers. More applications and layers with each technology node are being qualified for ALD and/or PEALD. The demand for feature rich portable devices, it was high-performance at low-power levels is driving innovation in our customers and as a result, we are seeing the introduction of new materials in our customers leading edge devices. This area of thin film engineering and introducing the deposition processes of these new materials in high volume device manufacturing is an area where ASM has technology leadership. As more customers will be introducing these new materials in high-volume manufacturing, in the 2X and 1X node in 2013 and beyond, we expect this to be a major driver in the development of ASM’s Front-end top line. Looking ahead to 2013, we see continued global economic uncertainty as the major influence on our business environment. As a result of which industry experts are currently forecasting a modest decline for spending for the whole year. At the same time, leading device manufacturers have announced healthy capital budgets. We believe that significant ramps at the 28-nanometer and 20-nanometer nodes in the logic and foundry sectors, and the beginning of the 40-nanometer transition, our positive trends for ASM through the coming year in Front-end. For Back-end, we’re seeing signs of stabilization in parts of the market that Back-end is serving and W.K will provide more color on this after this introduction. Sales in the Front-end are expected to show a double digit decline in Q1, as compared to Q4 2012. We expect our Front-end operation to show an order intake in Q1, strongly above the expected sales level for Q1. Based on the backlog at the end of Q4 and the expected order intake in Q1 and Q2, we foresee a double digit sales increase for Front-end in Q2. Sales in the Back-end are expected to be at approximately in the same level as in Q4. Order intake is expected to show a strong increase, it is expected to improve from Q1 compared to Q4. That’s it. W.K, I offer you the floor now.
Wai Kwong Lee: Okay. Thank you, Chuck. I must apologize today I do not have a very good voice, so I hope I can bring myself as key as possible. I will continue to give an update on ASMPT. Deteriorating global economy has once again affected the semiconductor assembly equipment and lead time market in 2012. Despite the market picked up strongly during the first half of last year, in terms of getting contrast family since the third quarter. The (inaudible) contraction was beyond the typical seasonal pattern. In fact, in four of the past five years, we noticed that the market contracted significantly during the second half of the year except 2009. Last year, ASMPT achieved a turn over of $1.35 billion, representing a contraction of 19% as compared to $1.6 billion U.S. in 2011. Lead frame revenue obtained another new record of $212.3 million representing a growth of 8.8% from the year before and contributed to 15.8% of the Groups total revenue making it outstanding from last year. As specified stable retro functions in our efforts in convincing customers to accept either fully impacted (inaudible) of price increase, we successfully returned the significant businesses to profitability, contributing to 36.2% of ASMPT’s turnover, SMT equipment business revenue amount to $488.5 million. Even in the midst of worsening market conditions, ASMPT has a good progress. SMT equipment business last year has successfully penetrated into many newer trends including an important customer for the manufacturing of smartphones. Not just the partnership of foundry machine, ASMPT is moving into launch of additional SMT placement markets. More importantly our SMT equipment business has demonstrated strong incidence while maintaining the profitability during every quarter last year despite the volatile market condition. In fact gross margins of our SMT equipment business even improved as compared to 2011. The equipment business which consist of the (inaudible) equipment business experienced a strong pickup in the first half of 2012. However, the unfavorable economic and market conditions shared a small initial momentum in the second half of 2012 thereby pointing to promising equipment and adversity impacting the profitability of this business segment. Last year equipment revenue contracted about 23% to $647.9 million contributing 48% of the group's total turnover. (inaudible) about capacity utilization, order mix and pressure on certain price, profitability of this business segment was (inaudible), it’s just on the overall performance of the group, in fact ASMPT suffered a loss of $45 million during the fourth quarter last year. By geographical distribution, China, Europe, Malaysia, Americas and Taiwan were the top five markets for ASMPT last year. Led by the SMT equipment business, we continued to make steady progress into America's market, due to the unfavorable economic conditions, contributions from the markets in China and Europe to the group have decreased. The contraction of these two markets accounted for more than 85% of the total contraction of our revenue last year. The slowdown in the China market probably had equipped us, negative impact on the gross performance last year. In 2012, our top five customer contributed to 16.4% of our total revenue, and 2% of the total revenue in last year came from 191 customers. Overall our top 20 customers, 6 were from the SMT equipment business and of which two of our key customers for both the Back-end equipment business and SMT equipment business. The order bookings for 2012 amounted to $1.32 billion. New order bookings of Back-end equipment business improved over 2011. Book-to-bill ratio was 0.98 as of 31 December 2012, all of that amounted to $260.7 million. The market contracted through the second half of last year, as a result new order bookings for the second half of the year decreased by 27.2% as compared to the preceding six months, in fact 61.4% of the Groups new order bookings last year were received in the first six months. However, the markets seemed to have stabilized towards the end of last year. Bookings for the fourth quarter last year, where $250.3 million, representing an increase of 4.1% over the same period of 2011 and 3.7% from the preceding quarter typically. At the beginning of the fourth quarter of last year, bookings for our lead frame business began to bounce back from the low levels which we will experience in the preceding quarter. Q4 bookings we were also at a level just slightly below the level of the same period a year ago, while we consider that bookings was still at a low level at the quarter-on-quarter growth rate nevertheless amount to a strong percentage improvement. The fourth-quarter bookings for our SMT equipments improved slightly over the preceding quarter. We also registered a double digit year-on-year growth. We are particularly pleased that they are sized at SMT equipment markets in China appear to be on its way to recovery due to pick up of activities from the manufacturers of China made smartphones and computers. The Back-end equipment business was the only business segment which registered a further decline in new order bookings during the fourth quarter of last year. Still the quarter remains relatively high and reduced a significant again a sign that the market was stabilizing. In fact, bookings were just slightly below the level at the same quarter a year ago. Looking ahead, we believe that we have probably come of the bottom of the current industry cycle. We expect bookings for our Back-end equipment and lead frames to improve in Q1 this year over the previous quarter unless affected by unforeseeable economic factors further improve and is expected to follow Q2. Smartphones and tablet computers have become the most important drivers of the semiconductor. Furthermore, we expect demand for low price smartphones and tablet computers tethering to the emerging economies, benefited by this global trend, we anticipate that adoption of 2.5G and 3G packages will accelerate. ASMPT has been investing acquisitively in this area developing technologies and solutions of both semiconductor bonding and capturing. We accounted in that, this investments will bring meaningful returns in the foreseeable future. During the second half of last year, we did not expect capacity utilization of our [LED] customers experienced a reduction although the magnitude was not severe. We believe that the challenging market conditions during the second half of last year, only February relatively recovery of the LED market. The improvements in LED technology and manufacturing as well as continuous decrease in the pricing of LED will held expedite in the adoption of LED. With a strong market position, we are confident that ASMPT will benefit and anticipate the taking of LED generating market. The market has changed significantly in the past few years. Our customers are keen to acquisitively develop new packaging solutions and ASM has been selective on many of the technology partner. Many of our peers mainly pay us in specific product segments. ASMPT has a strong (inaudible) comprehensive knowledge in the entire SMT process of semiconductor packaging and SMT placement, the quarter's portfolio and a strong financial background. We realize that when it comes to picking the logic development partners many of our customers keep significant weight to these factors. Ultimately the prevailing macroeconomic conditions, they have a major influence on the semiconductor market. All this beneath the global semiconductor market may enter a phase of subsequent multi-year growth. We have the opinion that to materialize, we have to assume that market conditions will continue to be challenging, fast changing and modified. To improve our profitability we have put in place a cost reduction program. Throughout the internal vertical manufacturing approach of the verticals we have seen in the past, we certainly need to actually adapt to the new market conditions. We target to increase the flexibility of our manufacturing, such that because we act to the dynamic volatile market demand more efficiently and effectively. We are then striking a better bondage between our fixed and ratable manufacturing costs. We will increase the level of outsourcing up to 30% and use temporary and (inaudible) during the period of strong market demand. We are also (inaudible) product cost reduction, LTE improvement and reduction of operating expenses. We have obtained our major suppliers to implement random managed inventory, this is part of the effort to improve our working capital management and at sometimes to ensure that we do not loose the opportunity to capture any market upside potential. With our exclusive cost reduction effort, we hope to return back to similar level of profitability and business like before when business returns. Thank you, and now I will like to pass the call back to Mary Jo.
Mary Jo Dieckhaus: Thank you, Mr. Lee. Before we begin the Q&A session we request that each person ask only one or two questions at the most in order to allow for more participants. We should have sufficient time to take follow-up questions at the end of the call. I would also like to remind you that question should be directed to 2012 and fourth quarter operating results. Now Lisa, we are ready for the first question.
Operator: Thank you. (Operator Instructions) We will now take our first question from Robin van den Broek of ABN AMRO. Please go ahead sir.
Robin van den Broek – ABN AMRO Bank NV: Yes, good afternoon gentlemen. At first on ALD, I was just wondering what percentiles of your revenue is related to ALD and PEALD? And maybe I can hear from your commercial update on ALD that I guess we can see some shipments towards Taiwan and Korea as well, which is of course good, but they also sketch the outlook on margin on that because Intel was a fairly big client for you. Now you see your penetration in Foundry is increasing, will that have a positive impact on margins also? And secondly, with regards to the timing of the study, I am sorry, but I do feel compelled to ask a question related to that. You will have to continue shareholders at least at the 42 days before the event, is it your ambition to have the study published before you can win shareholders by the beginning of April or could you also delay the duplication of the study towards the Q1 results? Thank you.
Charles D. del Prado: All right. So I recorded it three questions. One is ALD as a percentage of revenue margin and then the margin, the second question studies, third question. Yeah, we have the ALD or plasma ALD as a percentage of revenue, yeah we have said before and that’s what we would like to repeat today that it is a significant double digit percentage of revenue, ALD and PEALD and of course that is, yeah, the evidence is also provided by the fact that quarter-over-quarter ALD and PEALD together represents the number one in bookings among all the Front-end product lines and the only thing we can add today is that in a time where let’s say the economy is somewhat weaker and in general, capacity wise are – for more let’s say commodity technologies are lower that you can imagine that the advanced technology wise to which ALD and PEALD belong, the relative contribution as only increased recently, yeah in recent quarters and we expect until the overall economy really recovers globally that it will say like that. And then maybe the percentage will go down relatively speaking, not in absolute terms, because also the other product lines contribution in absolute terms will increase. So then on margins, Peter do you want to say something on that?
Peter A.M. van Bommel: Yeah. As stated already in previous calls, these types of margins that we have in the different product lines are in the same sort of ranges. So then I am talking about the equipment product lines, so we see that’s not changing that rapidly.
Charles D. del Prado: Okay. Then on the timing of the – you asked the question on the timing of our reporting on the outcome of all the study. The only thing, again this call is primarily about the numbers, but what we can say is that, again we likely said in the press release, well we report on the outcome of this study as soon as it’s practical and in any event before the forthcoming annual general shareholder meeting and the other data point that we can give is that our AGM agenda no later than April 4 will be published by the company. And we prefer not to give any further comments than those two data points. I trust you will respect that.
Robin van den Broek – ABN AMRO Bank NV: Okay, thanks very much.
Operator: We will now take our next question from Michael Roeg of KBC Securities. Please go ahead.
Michael Roeg – KBC Securities NV: Good afternoon gentlemen. I have two questions. The first one is about your Q4 sales in Front-end. Well it was pleasantly better than expected. So something must have happened in November and December, and you already mentioned during the introduction that you have got a lot of orders that you could bill. But if you get an order in November and December, my impression was always that you could only bail it in Q1 or maybe Q2 given the long lead times for Front-end equipment. So how can that be, could you explain that? How’s that the two effect that maybe you sold from inventory? Then the second question, during the past few quarters, we see gross margins in both activities grow up and down, driven by utilization, client to make sure the loss of product mix and it can have quite a large impact. Could you provide for both Front-end and Back-end, something on the Q4 backlog, how that product mix compares to the mix of Q3, whether it has been similar or improved or deteriorated? Thank you.
Peter A.M. van Bommel: All right, so first of all the revenue indeed, the sales in Q4 was somewhat higher than we expected when we were indeed in the call in October, but you should imagine that there is always some buffer that we have in our supply chain, build in to accommodate that. And just on overall favorable mix, that we were not sure of in when they reported on the Q3 results and when we are, since we were not sure, whether that mix, that specific mix that eventually happened in Q4 whether that would materialize, we thought it was not wise to take it into account our guidance for Q4 when we shared that with you in October; that's an answer on the first question. Then on the – so on the backlog, the bookings the way I perceive the question is how whether the bookings development in Q3 and Q4 materially whether were any material differences there. I think in general I can say that Foundry in general strengthened in the second half of the year and that applies to both Q3 and Q4 and in general in Q4 itself logic and foundry both contributed in a very healthy way to the bookings in terms of equipment bookings and they had an equal contribution in that respect. So again Q3 and Q4, healthy foundry contribution, but likely a stronger contribution on logic in Q4 compared to Q3.
Michael Roeg – KBC Securities NV: Okay. And going back to the second question that is from a client point of view, but that was more referring to a product point of view as in high margin products, lower margin products, how that compares Q4 versus Q3 as these sort of pre-calculated margins within the backlog, that’s how developed over the past quarter?
Charles D. del Prado: What I indicated early in the call and also in previous calls is that, when you look through the different product lines, then we have a range of margins, which are equaled between the different product lines. However between a product line, you can have certain tools, which have a better margin or lower margin than the average and we at in Q4 as compared to Q3 are the favorable development of orders that we were bearing with relatively high margins, much more products at higher margins than what we have seen in the third quarter.
Michael Roeg – KBC Securities NV: That’s clear and that’s why we would love to know whether your backlog for execution in Q1 also have that favorable margin or maybe even better, hopefully not worse?
Charles D. del Prado: Yeah, on margin.
Michael Roeg – KBC Securities NV: Comparing the Q3 and Q4 backlogs, which one has better quality margins?
Charles D. del Prado: We are not providing any forward-looking information with regard to the gross margins for the coming quarters.
Michael Roeg – KBC Securities NV: Okay that's it for me. Thank you.
Charles D. del Prado: Yeah.
Operator: We will now take our next question from Philip Scholte of Rabobank Please go ahead.
Philip Scholte – Rabobank: Yes. Good afternoon, it's Philip Scholte from the Rabobank. Sort of coming back on the previous question on gross margins at the Front-end, you have previously targeted that gross margin to improve overtime towards – well, let's say the mid-40s or at least higher than 40%, are you still confident you can get there and on the ongoing restructuring and cost savings instrumental in achieving that or when can we achieve those kind of levels if we ever can? And the second one and I don't want to bother del you for this, but it is for the Back-end part, the gross margin there also seems to be on a sort of structural decline over the last – well let's say two years and I know there is still mixed effects included in there, but also looking at the just the Back-end equipment side, I know you are going to restructure that business looking at external and internal production capacity, but do you believe you can get the gross margin of the group back towards, well to 30% plus range anytime soon?
Charles D. del Prado: Let me try to give you an answer on the first question with regard to the Front-end margins, yes we have in the past indicated that the margins will go to low to mid-40s. We have a delay in that program, so we have seen some more difficulty in 2012. What we have indicated also in the previous calls that the big part of the negative impact on the gross margin as compared to 2011 was due to inefficiencies that we saw and the utilization. We are working hard on that. Under utilization in the fourth quarter was still not gone with the (inaudible) we have provided for Q1, you can also imagine that the under utilization also is not fully gone. So it will cause several more times than what we hope for that we could go into those margins and in order to end in that low to mid 40s level, we need to have a little bit more time than we obviously anticipated and to obvious straight line, it was fluctuating in time. W.K., are you able to answer the second question?
Wai Kwong Lee: Yes, yes, I do. Yes, we look to expand our gross margin has deteriorated compared to before in the past I would say, two years or 1.5 years. Well, as I have mentioned earlier, the factors that is contributing to all these deteriorations into auto priority is, the first one is really the Front-end capacity utilization. The second one is product mix and then followed by this average selling price, but comparatively the product cost is ultimately really go up too much if they are very, very small change. We also have to concern about that, so that’s why we use our very good approach to really step out [Big Bang] effect of the contribution from all these factors. However I am not able to disclose the quantitative number, so the methodology we use is that the pickings for example the Q4 sales, looking at various mottos and quantities we will show and then we picked up a benchmarking quarter in the past that we feel we are enjoying a reasonably decent cost margin and then we use the selling price at that particular quarter, cost in the particular quarter to really calculate what yield we are selling at that price, what yield we will (inaudible) that cost and also what yield we are producing to pickup volume. So with all these stimulation in assets we confirmed that our problem today is really the capacity utilization, because we having the vertical manufacturing integration, internal manufacturing individual approach. So for every part of sales – when the sales have come down, for every dollar sales we are cutting a larger burden of the fixed cost and really this fixed cost burden causing us a lot of problem. In our recent announcement, we have also disclosed even our total labor cost or total human resources cost, actually you see despite these increases in (inaudible) just in China, changing the appreciation of currency. Actually the overall changes of the human resources but it is more. So basically (inaudible) we come to conclusion that, our biggest problems really on the capacity utilization, that's why we put a lot of emphasis on restructuring ourselves to have more flexibility in that direction. So it would achieve 30% of outsourcing, whereas to put in the measure to use (inaudible) as soon as and we look that, we could be looking for building into our manufacturing roughly probably 40% kind of flexibility, so that will help a lot definitely. Regarding the question when and how fast we can see our cost margins back to 30% and above, given 40% and above, I think it really depends on short-term it would depend on the volume activities, the sales activities that is the quickest way to achieve it, the cost reduction will definitely take a lot of time, the restructuring, the manufacturing were picked, a lot of time to utilize. So I think we expect nothing go wrong. In Q2, we continue to see market improvement in Q2 I think we should be able to report a significant improvement in cost margins in the second quarter of this year. We may not be able to go back to the 40% immediately but I believe that we should be able to show a significant improvement.
Philip Scholte – Rabobank: Thanks. If I may have a short follow-up on the first question, is there any sales level with which you can say that your underutilization or under absorption is gone?
Peter A.M. van Bommel: Well, I think it would take some time – some slight increase in revenue. If you compare the big quarters we achieved back in 2010 and also the beginning of 2011, I think looking at comparing Q4 and we’re just talking about half of the capacity utilization or maybe even one-third. So I think it will take us, I think to be more, but however actually we achieved a very fantastic gross margin Back-end period of 2010. We achieved a gross margin of high 40%. So we’re not aiming at a high 40%, we’re aiming at, we are still back to the high 30%, low 40% level first. Then I will say probably we assume – significantly increase of revenue from today’s level. So I think Q1 or Q2 last year actually be a very close to be back to the 40% level in Q2 last year.
Philip Scholte – Rabobank: Right. And the same question actually for the Front-end activity, is there any level you would like to indicate to show beyond the utilization issue?
Peter A.M. van Bommel: That has to do – I very strongly feel that the mix that we have, so that’s not a question that we can answer very easily.
Philip Scholte – Rabobank: All right. Okay, well thanks very much.
Operator: Our next question comes from Peter Olofsen of Kepler Capital Markets. Please go ahead.
Peter Olofsen – Kepler Capital Markets: Yes, good afternoon. Two questions first on the Front-end business, with the foundries moved to 20-nanometer and the logic to move to 40-nanometer, your Dutch peer, ASMI has guided for H2 to be stronger than H1. I understand there are some differences in lead times, but based on discussion with your customers. Is there any indication how 2013 will shape up? And then on the Back-end business, particularly on the SMT product business, that market still looks relatively fragmented. I know noticed that two Japanese competitors have announced to merge their SMT businesses. Do you think this is the start of an industry consolidation and if so, will ASMPT participate in such a consolidation?
Charles D. del Prado: First of all, high level dynamics of the difference industry segments in Front-end. Well, with the visibility we have and let’s say the areas within those business segments that we participate in. In general we can say that logic, foundry with the visibility we have now is well pretty – has a pretty healthy dynamics in the first half of the year. And the second half of the year, well very likely stays healthy, but maybe at somewhat lower level than the first half. That is just – at least was a visibility we now have. So again for the whole year, healthy CapEx level, but first half very likely somewhat stronger than the second half. Logic in general pretty evenly divided throughout the year, with the visibility we now have.
Peter Olofsen – Kepler Capital Markets: Okay, that’s good.
Charles D. del Prado: So W.K., can you answer the second part?
Wai Kwong Lee: Yeah, okay. Well, the SMT equipment market shows a trend of consolidation and that was one of the assessment and also one of the reason why we have decide to enter into the SMT market two years back. So we expect this consolidation to take place and we came to a conclusion at that point of time that SMT systems from Siemens is really a good starting point for ASM. We certainly do not allow the possibility of taking advantage of this phase of consolidation to enhance or put strings on our SMT equipment business, but we also at the sometime be very conscious about really doing that, unless we find a really interesting packet and we really find it complementary, otherwise for example just now we have mentioned there are two depending on (inaudible) merged together. So I think simply merging with somebody, we may not be that interest, but we have a complementary that launches complementary product, and we’re able enhance other certainly we do not put out and I think this moment, we are still not accelerating in that process yet.
Peter Olofsen – Kepler Capital Markets: Okay. May I ask on follow on the Back-end business, can you give an indication what the gross margin in the lead frame business is right now?
Wai Kwong Lee: Well, the gross margin for the lead frame business we see probably do not have an excellent year. They should be in the 12%, if I am not wrong. I am not mistaken. So we felt that that profit margin of the segment around 17% something like that.
Peter Olofsen – Kepler Capital Markets: Okay, thank you.
Operator: We will now take our next question from Sandeep Deshpande from JPMorgan. Please go ahead.
Chetan Udeshi – JPMorgan Securities: Yeah, hi this is Chetan on behalf of Sandeep. A few questions, firstly on the ALD business, Chuck, would you confirm that you are involved on the ALD side with all the major foundries at 28-nanometer and 20-nanometer? And associated question would be, what do you see as a potential market size for ALDs in two to three years time where you know large proportion of leading edge moves to 14-nanometer and 20-nanometer?And then I have a follow-up on gross margin as well.
Charles D. del Prado: All right. So the answer on the first question is yes that we are engaged with basically all key foundries in the world on ALD. On the second question, market size of ALD and PEALD in few years down the road, that’s also an effort we go through it continuously, because it depends not only on the technology that we have available, but also on the pace at the which our customers are able to integrate this technology, but I think it’s without mentioning absolute numbers, because then it’s also what do you include in there and what not, but I think it’s fair to say that at least doubling of that market. The total market in the next couple of years is not likely to happen in the next three to four years at least. I trust that helps you a little bit further and maybe off line.
Chetan Udeshi – JPMorgan Securities: So I mean, are you saying that it won’t double and makes two to three years, but it will still grow significantly, is that how we should interpret your answer?
Charles D. del Prado: No, it will double.
Chetan Udeshi – JPMorgan Securities: It will double, okay.
Charles D. del Prado: Okay.
Chetan Udeshi – JPMorgan Securities: And following on that, what do you think is your share in ALD, do you see any major competitors at the moment in ALD or do you think you are the only sole supplier at the moment on the leading foundries and logic companies?
Charles D. del Prado: No. We are absolutely not the only supplier, but in the segments that we are participating that we have chosen, we have a leading position. For example just – you know just to give you an example the high-k part of the market, we clearly own the majority of the markets and there are several other segments that we participate in and we are working hard to grow our market share there. So in general, our penetration is at this moment in time increasing our market share.
Chetan Udeshi – JPMorgan Securities: Okay. And one question on gross margin in the Front-end, you said the majority of the 600 basis points increase in the Front-end gross margins compared to 3Q was due to better product mix. So does this mean you do have some products, which are very low gross margin and if that’s the case, would you think about restructuring those product lines to maybe have a better gross margin through all your products lines other than having this big discrepancies in product gross margins?
Charles D. del Prado: I think in general we can see – we cannot emphasize that enough. Peter can provided some color a little bit more detailed when questions were asked on projections for quarter, but we can tell you that in general our focus on gross margin is very, very strong. We are not satisfied with our gross margin level that we in general have shown in 2012, we are not satisfied with that gross margin levels at all and we have programs all across the company in Front-end to drive that gross margin structurally forward to levels that are more in line with our peers. Again if you ask us timing, that depends on quite a number of factors, but our ambition lies a lot higher than where we are now if you look at the average that we performed and showed in 2012.
Chetan Udeshi – JPMorgan Securities: Okay, thank you.
Operator: We will now take our next question from Christie Groves of Churchill Capital. Please go ahead.
Christie Groves – Churchill Capital Ltd.: Hi, I know you would rather not talk about this study, but I just want to clarify in your earnings announcement you stated that ASMI would report on the outcome of the study, I just wonder if you could confirm that the study and the scope of study was not only for the reasons for the non-recognition of the value in the Front-end, but also includes potential solutions for that problem and if so will shareholders be voting on a potential solution that with AGM and also can you give us an indication of the timing to actually implement any of these changes?
Charles D. del Prado: Yeah, we understand your questions and we fully respect to the bring those questions up, but again many people ask us many shareholders, analysts and other stakeholders, interested parties in the company ask these questions in many different ways and we chose to give a unified answer to everybody and we are not going to deviate from that in this call compared to the press release that's accessible to basically every party that follows the company. So virtually for you, I just have to referring to the remarks that – again we are looking into the causes of the – in the study that looks at the causes of the non-recognition by the markets of the value of the combined visitors and the outcome of the study, the causes and the conclusion we drew based upon those causes, we will share that with you as soon as practical and in any event before the forthcoming AGM.
Christie Groves – Churchill Capital Ltd.: Okay. So we’ll just see a report of what the results are of the study then that will be reviewed at the AGM?
Charles D. del Prado: That’s not what I said. Again, if I would – that’s not what I said. I think what I said is written down in the press release and I can tell you that we guarantee and I can tell you that it is very, very clear how important this is to basically all shareholders that have a participation in the company. It’s also and two other parties that followed the company show. So it is in our interest, in the interest of the company to address this subject in the best possible way for every stakeholder.
Christie Groves – Churchill Capital Ltd.: Okay. Thank you very much.
Operator: As there are no further questions, I would like to turn the call back over to Mr. Chuck del Prado for any additional remarks.
Charles D. del Prado: Okay, I’d like to thank everybody on behalf of WK and Peter for you attending this call and looking forward to meeting with you outside these calls, on regular road shows and otherwise looking forward to meeting you again in the call at the end of April to present our Q1 results. Thank you again for attending today. Bye, bye.
Operator: That will conclude today’s conference call. Thank you for your participation. Ladies and gentlemen you may now disconnect.